Operator: Thank you for standing by, and welcome to the Upland Software First Quarter 2024 Earnings Call. [Operator Instructions] The conference call will be recorded and simultaneously webcast at investor.uplandsoftware.com, and a replay will be available there for 12 months. By now, everyone should have access to the first quarter 2024 earnings release, which was distributed today at 4:00 p.m. Eastern Time. If you have not received the release, it's available on Upland's website. I'd now like to turn the call over to Jack McDonald, Chairman and CEO of Upland Software. Please go ahead, sir. 
John McDonald: All right. Thank you, and welcome to our Q1 2024 earnings call. I'm joined today by Mike Hill, our CFO. We're going to start today's call with a Q1 review. Following that, Mike will provide some detail on the Q1 numbers and our guidance, and then we'll open it up for Q&A. But before we get started, Mike, can you read the safe harbor statement? 
Michael Hill: Yes. Thank you, Jack. During today's call, we will include statements that are considered forward-looking within the meanings of the securities laws. A detailed discussion of the risks and uncertainties associated with such statements is contained in our periodic reports filed with the SEC. The forward-looking statements made today are based on our views and assumptions and on information currently available to Upland management as of today. We do not intend or undertake any duty to release publicly any updates or revisions to any forward-looking statements. On this call, Upland will refer to non-GAAP financial measures that, when used in combination with GAAP results, provide Upland management with additional analytical tools to understand its operations. Upland has provided reconciliations of non-GAAP measures to the most comparable GAAP measures in our press release announcing our financial results, which are available on the Investor Relations section of our website. Please note that we're unable to reconcile any forward-looking non-GAAP financial measures to directly comparable GAAP financial measures because the information which is needed to complete a reconciliation is unavailable at this time without unreasonable effort. With that, I'll turn the call back over to Jack. 
John McDonald: All right. Thanks, Mike. So the headlines, we beat our Q1 revenue and adjusted EBITDA guidance midpoints. And our free cash flow came in as expected. Now we continue to execute on our growth plan, and we are seeing some green shoots emerging. Our core bookings exceeded core churn in the first quarter, which is step 1 in driving our core organic growth rate positive this year as part of our growth plan. Other green shoots that we are seeing include digital marketing, effectiveness and efficiency improving. We're seeing that in SEO page ranks and cost per lead. We're seeing sales and marketing qualified leads increasing. We're seeing overall sales pipeline generation increasing, and we're seeing successful closed bookings from our new inside sales teams. You'll recall that we've got a multipronged sales organization with field sales, channel, inside sales, which is a newer motion for us as well as, of course, our customer success sales motions. That inside sales motion that -- those DSRs, direct sales rep teams are starting to close deals. We saw 6 major customer deals closed by those inside sellers in the first quarter, including a couple of deals that averaged 200,000 in ARR. So some early green shoots there that we're happy to see. Our goal remains to exit 2024 at a core organic growth rate of plus or minus 3%. As I've noted before, our guidance is more conservative than that. And of course, there are no guarantees that we're going to hit those goals. In the first quarter, we welcomed 134 new customers that included 21 new major customers, and we also expanded relationships with over 250 existing customers, including 29 major expansions. On the product front, a number of items to highlight. We earned 44 badges in G2's Spring 2024 Market Reports. That's across our product portfolio. A couple to highlight. Upland Altify, which is our sales optimization software and Upland InterFAX, our cloud-based fax service are new to receiving badges, but in that badge count in Q1, which is great to see. The company's knowledge management solutions, including Upland RightAnswers and Upland Panviva, continue to garner various recognitions while Upland Qvidian, our proposal management and response software, increased its number of liter badges quarter-over-quarter. So happy to see that. Upland Software was included as a notable vendor in Forrester's Customer Solutions Landscape report for our knowledge management solutions, Panviva and RightAnswers. And with the continuing advances of AI technology, Upland remains committed to enhancing those solutions and guiding organizations through the transformative AI revolution, helping them embrace the future of knowledge management. So a lot of initiatives underway as AI is concerned, more on that in a moment. Our product development teams, of course, have worked diligently in the first quarter to innovate across our portfolio. We have 10 active AI initiatives underway, including Upland Qvidian's guided proposal automation, which is giving customers AI-powered choice. We integrate with OpenAI and with IBM Watsonx. We've got an exciting partnership with IBM around Watsonx and Qvidian, which we're very happy about. Upland also drove an integration of Altify with Salesforce AI for a variety of data extraction, summarization and auto-generated form response capabilities. So also partnering with Salesforce on the AI front. We're excited about both the IBM and Salesforce partnerships. Our core focus at Upland is on the enterprise space, and our customers care deeply about security, about governance, about compliance and about risk management. And when it comes to introducing generative AI into their businesses, they want it and know it can greatly benefit their business, but only if it complies with their standards around data privacy, governance and risk. And so our customers need to be able to trust us to utilize this new technology responsibly. And that is what these partnerships like the partnerships with IBM and Salesforce give us. And so we like the way that positions us to deliver value for our customers. So with that said, I'm going to turn the call back over to Mike. 
Michael Hill: All right. Thank you, Jack. I'll cover the financial results for the first quarter of 2024 and our outlook for the second quarter and full year '24. These results and our outlook for 2024 reflect another year of significant incremental sales, marketing and product investments pursuant to our growth plan as well as the planned runoff of our Sunset Assets revenue, as we've talked about in the past. Total revenue for the first quarter was $70.7 million, representing a decrease of 8% year-over-year. Recurring revenue from subscription and support declined 8% year-over-year at $67.1 million. Perpetual license revenue declined to $1.5 million in the first quarter, down from $1.6 million in the first quarter of 2023. Professional services revenue was $2.2 million for the quarter, a 15% year-over-year decline. These revenue declines are consistent with the planned runoff of Sunset Asset revenue. Overall gross margin was 70% during the first quarter, and our product gross margin was 71% or 75% when adding back depreciation and amortization, which we refer to as cash gross margin. Operating expenses for the first quarter of '24, excluding acquisition-related expenses, depreciation, amortization, stock-based comp, impairment of goodwill, were $39.4 million for the quarter or 56% of total revenue. This is in line with our expectations and reflects the sales, marketing and product investments we have been making as part of our growth plan. I should note that we did incur a noncash goodwill impairment charge of $87.2 million in the first quarter of '24, which was triggered by a decline in our stock price at the end of the quarter. Had our stock price not decreased, we would likely not have had an impairment. Our first quarter 2024 adjusted EBITDA was $13.1 million or 19% of total revenue, down from $17.6 million or 23% of total revenue for the first quarter of 2023. This adjusted EBITDA decline is generally as expected, considering our growth investments and our decision regarding Sunset Assets. For the first quarter of '24, our GAAP operating cash flow was $5.1 million and free cash flow was $4.9 million, which was in line with our expectations. Our ongoing free cash flow generation is in addition to the approximate $232 million of cash on our balance sheet as of March 31, 2024. As of March 31, 2024, we had outstanding net debt of approximately $249 million after factoring in the cash on our balance sheet. As of March 31, 2024, our gross debt was approximately $481 million, of which approximately $258 million is still fully hedged, effectively locking our interest rate at 5.4% on that portion of our debt through the full maturity of our term debt in August of 2026. The remaining approximately $223 million of term debt now flows at an interest rate of SOFR plus 385 basis points, which was about 9.2% at March 31, 2024. I will also note that we used $7.9 million of cash to buy back approximately 2.2 million shares of our common stock during the quarter ended March 31, 2024, under our limited stock repurchase program that began in early September of 2023. This brings the cumulative total cost of our stock buybacks through March 31, 2024, to $22.2 million for approximately 5.5 million shares. As a reminder, our stock buyback plan is for a potential $25 million total should it fully execute. As described on past calls, the following guidance reflects the significant incremental sales, marketing and product investments that we are making as part of our comprehensive growth plan as well as the effects of decreasing revenue and expenses related to Sunset Assets. I will note that we are raising our guidance midpoint for the full year ending December 31, 2024, as a result of our Q1 guidance midpoint beats. So for the quarter ending June 30, 2024, Upland expects reported total revenue to be between $64.4 million and $70.4 million, including subscription and support revenue between $61.5 million and $66.5 million for a decline in total revenue of 10% at the midpoint from the quarter ended June 30, 2023. Second quarter 2024 adjusted EBITDA is expected to be between $11.8 million and $14.8 million for an adjusted EBITDA margin of 20% at the midpoint. This adjusted EBITDA guidance at the midpoint is a decrease of 20% from the quarter ended June 30, 2023. For the full year ending December 31, 2024, Upland expects reported total revenue to be between $264.7 million and $282.7 million, including subscription and support revenue between $251.6 million and $266.6 million for a decline in total revenue of 8% at the midpoint from the year ended December 31, 2023. Full year 2024 adjusted EBITDA is expected to be between $50.8 million and $59.8 million for an adjusted EBITDA margin of 20% at the midpoint. This adjusted EBITDA guidance at the midpoint is a decrease of 14% from the year ended December 31, 2023. And with that, I'll pass the call back over to Jack. 
John McDonald: All right. Thanks, Mike. We are now ready to open the call up for Q&A. Thank you. 
Operator: [Operator Instructions] And your first question comes from the line of Jake Roberge of William Blair. 
Jacob Roberge: The first one is on the sequential and year-over-year weakness in customer expansion and new customer additions. Is there any color on what's driving that weakness? Are there some macro impacts you should be aware of? And then I have a follow-up. 
John McDonald: The -- actually, in terms of renewals, expansions and bookings for the quarter, we had a good quarter. You're looking at just counts. It doesn't necessarily have deal size there. So that's the piece you're not factoring in. 
Jacob Roberge: Got it. That makes a lot of sense. And then just one more quick one. I know that last quarter, you mentioned like a new focus on potential acquisitions in 2024. Is there anything to call out on that? Any progress there? 
John McDonald: Yes, we continue to be super active in the market looking at opportunities and a couple of things out there that are interesting, and I would like to get something done this year. Nothing to announce at this point, but we're actively looking. 
Operator: Your next question comes from Alex Sklar of Raymond James. 
Johnathan McCary: This is Johnathan McCary on for Alex. So can you update us on where you stand in terms of the pricing and packaging initiatives you've mentioned? I know you've been focused on the product groupings and bundles. Just curious kind of where you are in that process and if you found the right balance there yet. 
John McDonald: Yes. I think we implemented last year price increase program to reflect the market realities of where pricing is amongst our competitors and the value we're delivering for customers. And so that has been fully rolled out, and we are seeing a positive impact from that in terms of ARR generation. So fully implemented and working. 
Johnathan McCary: Okay. And then, Mike, can you give us an update on the sunsetting of assets timing? Is there the time line there changed at all as you kind of more earnestly be on that process or still that same time line there? 
Michael Hill: Yes. Same time line 2, 3 years for that to wind down, so it will be a slow burn. 
Operator: [Operator Instructions] There are no more questions. I will now turn the conference back over to Jack McDonald for closing remarks. 
John McDonald: Okay. Thank you very much, and we will see you on our next quarterly earnings call. Thank you. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.